Operator: Welcome to the XPO Logistics, Inc. Fourth Quarter 2025 Earnings Conference Call and Webcast. My name is Shamali, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. If you have a question, please dial 1 on your telephone keypad. Please limit yourself to one question when you come up in the queue. If you have additional questions, welcome to get back in the queue, and we'll take as many as we can. Please note that this conference is being recorded. Before the call begins, let me read a brief statement on behalf of the company regarding forward-looking statements and the use of non-GAAP financial measures. During this call, the company will be making certain forward-looking statements within the meaning of applicable securities laws, which by their nature involves a number of risks, uncertainties, and other factors that could cause actual results to differ materially from those projected in the forward-looking statement. A discussion of factors that could cause actual results to differ materially is contained in the company's SEC filings as well as in its earnings release. The forward-looking statements in the company's earnings release or made on this call are made only as of today. And the company has no obligation to update any of these forward-looking statements, except to the extent required by law. This call, the company also may refer to certain non-GAAP financial measures, as defined under applicable SEC rules. Reconciliations of such non-GAAP financial measures to the most comparable GAAP measures are contained in the company's earnings release and the related financial table or on its website. You can find a copy of the company's earnings release which contains additional important information regarding forward-looking statements and non-GAAP financial measures in the Investors section on the company's website. I will now turn the call over to XPO Logistics, Inc.'s chairman and chief executive officer, Mario Harik. Mister Harik, you may begin.
Mario Harik: Good morning, everyone, and thank you for joining us. I'm here with Kyle Wismans, our Chief Financial Officer, and Ali-Ahmad Faghri, our Chief Strategy Officer. This morning, we reported another quarter of strong execution to close out the year. Company-wide, we delivered fourth-quarter adjusted EBITDA of $312 million and adjusted diluted EPS of $0.88. Excluding real estate gains in both periods, adjusted EBITDA increased 11% and adjusted EPS increased 18% year over year. In North American LTL, we generated adjusted operating income of $181 million, which was up 14% from the prior year. And we improved our adjusted operating ratio by 180 basis points, significantly outperforming normal seasonality. We've now expanded our LTL margin by 590 basis points since 2022, which marked the start of one of the most prolonged trade downturns in history. This speaks to the resilience of our strategy, and it will continue to serve us well this year and in the long term regardless of the cycle. The key components of our strategy are fully within our control, and I'll start with our most important lever, customer service. In 2025, we reduced damages and improved service quality to new company records, reflecting our focus on providing a superior customer experience. We're achieving this by balancing our network more precisely, reducing the number of freight rehandles, and implementing tighter operating processes at the service center level. And, critically, our stronger service performance is translating directly to better commercial outcomes. As a result, we've been able to earn higher prices and gain market share by providing consistent world-class service. When we make ongoing investments in the business, we're strengthening the connection between service quality and value creation. For example, we've deliberately invested in the network ahead of the upcycle to create more than 30% excess door capacity. This has given us the flexibility to operate more efficiently in the current environment, and we're positioned to respond quickly in a recovery. On the equipment side, our average sector age at year-end is 3.7 years, giving us one of the youngest fleets in the industry. This improves reliability and safety, reducing our maintenance cost per mile to the lowest level in our history. From a labor standpoint, we're staffed to support any near-term increases in demand while maintaining our high service levels. Combined with lower employee turnover and the national scale of our driver training schools, we're well-positioned to flex labor efficiently as volume grows. Each component of our capacity has a role in making sure we realize significant upside from our operating leverage when demand recovers. Next is pricing, which has a direct correlation to margin performance. Throughout 2025, we saw customers place more value on our service as reflected in the pricing gains we earn. For the full year, we grew yield excluding fuel by 6%. It was also the third consecutive year that we improved revenue per shipment for every quarter. In addition, the expansion we're driving with local customers and premium services is contributing to our above-market pricing growth. These revenue streams come with higher margins, and we see long runways for both core parts of our business. Another highlight of 2025 that contributed to margin was our improved cost efficiency. This was underpinned by productivity gains and a lower reliance on purchase transportation. Productivity improved roughly one and a half points for the year, with the ramp in the second half from our latest technology rollouts. These are proprietary applications that use AI for planning freight flow management and network operations. Importantly, we've completed a successful pilot of our AI-driven route optimization tools for pickup and delivery. And now with expanding this internally developed technology to nearly half of our service centers this quarter, we expect this to further reduce overall miles and improve stops per hour across a cost category of nearly $900 million. And on purchase transportation, we exited the year with the lowest level of outsourced miles in our company's history, at 5.1% of total miles. This has given us greater control over service quality and a more flexible cost structure. These cost efficiencies will scale with volume, and we expect the benefits to margin to grow over time. To sum it up, we entered 2026 from a position of strength, following a year of significant progress and outperformance. While we're pleased to have reported above-market results for another four quarters, we have multiple drivers to improve our LTL operating ratio well into the seventies in the years to come, and a substantial expansion of our operating margin. Number one is pricing. We see a double-digit opportunity to surpass the market in pricing growth over time by continuing to enhance service quality and revenue mix. Another key is our investment in capacity ahead of the cycle. We've built excess capacity across our network, positioning us for profitable share gains and operating leverage as demand recovers. And we have a long runway to improve cost efficiency and productivity for network applications of AI at scale. These are all high-impact initiatives that are already driving results. Importantly, our progress will be amplified by the billions of dollars of cumulative free cash flow we expect to generate in the coming years, starting with a meaningful acceleration in 2026. We'll fund an increase in share repurchases and debt reduction to further compound our earnings growth. With that, I'll turn it over to Kyle to walk through the financials. Kyle, over to you.
Kyle Wismans: Thank you, Mario, and good morning, everyone. I'll walk through the fourth-quarter financial results, followed by our balance sheet, liquidity, and capital allocation. For the total company, revenue increased 5% year over year to $2 billion. Revenue in our LTL segment was $1.2 billion, up 1% from last year, as our increase in yield more than offset the decrease in volume. Turning to cost, we continue to make progress in key areas that relate directly to margin. On a year-over-year basis, our salary, wage, and benefits expense decreased 1% or $7 million driven by strong productivity gains. And our purchase transportation expense decreased 46% or $20 million as we continue to insource line haul miles and optimize the network. This is a structural cost reduction that will help support stronger incremental margins as truckload rates rise when the freight market recovers. Depreciation expense increased 11% or $9 million reflecting our ongoing investments in equipment and capacity to support long-term growth. Moving to profitability, Total adjusted EBITDA was $312 million for the quarter, with $285 million generated by our LTL segment. Excluding gains on real estate transactions, adjusted EBITDA increased year over year by 11% both for the company as a whole and for the LTL segment. In Europe, adjusted EBITDA was $32 million while corporate adjusted EBITDA was a loss of $4 million. For the total company, fourth-quarter operating income was $143 million. Net income was $59 million, and diluted earnings per share was $0.50. Net income includes $14 million of gains on real estate and equipment, as well as $33 million of restructuring expense. This was primarily from previously granted equity awards, related to the transition in board leadership. On an adjusted basis, diluted EPS was $0.88. Excluding $0.08 per share of real estate gains in 2025, and $0.21 per share in 2024, adjusted EPS increased 18%. Turning to cash flow and CapEx. We generated $226 million of cash flow from operating activities in the quarter and deployed $84 million of net capital expenditures. We ended the quarter with $310 million cash on hand, after repurchasing $65 million of common stock and paying down $65 million on our term loan facility. Combined with available capacity under our committed borrowing facility, total liquidity at year-end was $910 million. Our net leverage ratio at year-end was 2.4 times trailing twelve months adjusted EBITDA for 2025, down from 2.5 times for 2024 and significantly lower than the three times reported for 2023. As we look ahead, we expect to meaningfully increase free cash flow generation this year, and over the years to come. This will enable us to accelerate share repurchases while also continuing to strengthen the balance sheet through debt pay down. Before I close, I'll summarize this year's planning assumptions to help you with your models. For 2026, we expect total company gross capital expenditures of $500 million to $600 million, interest expense of $205 million to $215 million, pension income of approximately $14 million, an adjusted effective tax rate of 24% to 25%, and a diluted share count of approximately 118 million shares. These assumptions are included in our latest investor presentation. And with that, I'll turn it over to Ali to cover the operating results.
Ali-Ahmad Faghri: Thank you, Kyle. I'll begin with our LTL operating performance where we continue to execute well and expand margins, despite the challenging freight environment. On a year-over-year basis, our shipments per day declined 1.6% and weight per shipment was down 3%, resulting in a 4.5% decrease in tonnage per day. These trends reflect ongoing softness in the industrial sector, but importantly, we're continuing to take share in the most attractive parts of the market. We're growing our business with more profitable local customers and by expanding our premium service offerings. Local shipments now represent approximately 25% of revenue, up from 20% just a few years ago. While premium services are now about 12% of revenue, up from less than 10% previously. These are deliberate shifts in our mix that will make increasing contributions to volume, price, and margin performance. Looking at the quarter month by month compared with the prior year, October tonnage was down 3.8%, November was down 5.4%, and December was down 4.5%. On shipments per day, October was down 1.4%, November was down 2.2%, and December was down 1%. In January, however, we saw an improvement. Our January tonnage was roughly flat year over year, which outperformed normal seasonality. We saw this positive trend even with the impact of the major winter storm at the end of the month, which we estimate had about a three-point impact on tonnage. Turning to pricing. Our yield performance in the fourth quarter continued to be strong, increasing 5.2% year over year excluding fuel. Both yield and revenue per shipment improved from the third quarter, and revenue per shipment has now increased sequentially for the twelfth consecutive quarter. We're gaining price through value delivered supported by strong service quality, continued growth in the local channel, and our premium offering. Moving to profitability, our fourth-quarter adjusted operating ratio in LTL improved by 180 basis points from the prior year, accelerating from the third quarter and significantly outperforming normal seasonal pattern. We're driving this margin expansion through a combination of pricing, cost initiatives, and productivity improvements enabled by our proprietary technology. Even in a soft demand environment, these structural advantages are allowing us to outperform our peers and keep elevating that performance over time. Turning to our European business, our results continue to trend favorably. On a year-over-year basis, revenue increased 11%, supported by our eighth consecutive quarter of revenue growth in Europe on a constant currency basis. Adjusted EBITDA increased 19% year over year, and performance tracked better than normal seasonality relative to the third quarter. To wrap up, our fourth-quarter performance highlights the strength of our strategy. We're managing through a soft freight market while continuing to improve mix, deliver consistent pricing gains, and expand margins. We're also making targeted investments in the network to generate high returns over time, and our proprietary technology is leveraging AI for cost and productivity improvement. Together, these capabilities position us to outperform in the current environment and accelerate results as demand recovers. With that, we'll take your questions. Operator, please open the line for Q&A. Thank you.
Operator: We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up the handset before pressing the star key. Again, please limit yourself to one question when you come up in the queue. If you have any additional questions, you're welcome to get back in the queue, and we'll take as many as we can. One moment, please, while we pull for questions. Our first question comes from the line of Ken Hoexter with Bank of America. Please proceed with your question.
Ken Hoexter: Hey, Greg. Good morning. So I guess you mentioned Ali there at the end, ex-storm, it sounds like tonnage would have been up about 3%. And you're outperforming seasonality. Given the thoughts on IS maybe your initial thoughts on how significant we can see this outperformance? Or versus your normal trends? Talk about what your normal trends are for the first quarter for both revenues and OR and what you think that indicates for the year if you keep this seasonal outperformance?
Mario Harik: Ken, this is Mario. So when you look at January, you put us tonnage was flat on a year-on-year basis, and shipments were up by about the point for the month. And when you look at that on a relative basis compared to December, that was a couple of points better than normal sequential seasonality from December into January. And this was after December being roughly about a couple of points also better than seasonality relative to November as well. Now as you mentioned and Ali mentioned earlier, we did see an impact from the winter storm, but we do estimate that to be three points for the full month. So that outperformance would have been even higher versus season trend. Now what's driving that, we are seeing, both from a demand a bit more strength, especially on the industrial side in the month of January, but a lot of it was the company-specific initiatives that we have been driving in terms of gaining market share and higher margin and accretive business. So from one perspective, we continue to grow in our local account segment or the small to medium-sized businesses that we are growing. Through the course of 2025, we added about 10,000 of these customers to our book of business. And similarly, we are growing in new verticals that in the past we were not growing in. Examples are grocery consolidation. Where through the back half of last year, we nearly tripled shipments in that segment of business. And we're also growing in areas like health care, where we onboarded two large customers in that space as well that are very service sensitive obviously, they're seeing all the great progress that we are making there as well. So it's a combination of underlying strength and market share gains in more product muscle segments of the business is what we're seeing here. In terms of OR outlook, if you look at typical seasonality for us from the fourth quarter to the first quarter, if you look over the long term, we typically see OR deteriorate by about 50 basis points sequentially and we do expect to outperform that normal seasonality here in the first quarter. And we do expect our OR to improve sequentially from Q4 into Q1, which is a strong overall outcome driven by all of our initiatives in pricing and cost efficiency in AI and, obviously, the volume environment here being a bit better as well.
Operator: Great. Thank you, Mario. Thank you. Our next question comes from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott Group: Hey. Thanks. Good morning. So Mario, helpful color on Q1. I know last year, gave some thoughts about how to think about full-year margin improvement. If you have similar thoughts this year on the LTL side. And then maybe if you could just give us an update on where we are on the local penetration and where you think that where you think that can go? Thank you.
Mario Harik: You got it, Scott. First of all, for the full year, we do expect another strong year for both margin improvement and earnings growth in 2026. Starting with 100 to 150 basis points of improvement for the full year. Which cost would be an acceleration relative to what we saw last year. And that's without a meaningful macro recovery. So the is assuming that, again, we're not gonna see the market pick up, although with, obviously, with ISM earlier this week, if that strength continues, that would change the outcome. So if we do see the macro recover, we would expect to drive upside due to our results. And the primary drivers for that that we do expect another year of above-market yield growth, driven by all the initiatives that we are driving in that arena. And similarly, we also expect another strong year in cost efficiencies, and that's driven by our AI initiatives. I mentioned earlier that we are in the process now launching our new internally developed AI optimization technology for pickup and delivery, and we expect to roll out half our network here in 10,000 new local accounts to our book of business. You recall, Scott, initially, when we started targeting that segment of business, we were at 20% of the total book was small to medium-sized customers, our goal was to get to about 30% in a period of roughly five years, and that's equivalent to about two and a half points of yield about half a point a year of outperformance driven by that segment of business. And we are currently at 25% of the book It's small to medium-sized customers. We're about halfway to our target of 30%, and we expect that to continue over the years to come as we continue to onboard more of these customers.
Scott Group: Appreciate it. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Fadi Chamoun with BMO Capital Markets. Please proceed with your question.
Fadi Chamoun: Thank you. Good morning. Mario, I wanted to go back to the comment that you made about the cost efficiency think you said 1.5 of productivity gains, I think it was last year. And you talked about technology and AI. Optimization, and some of the things you're implementing affecting $900 million of cost base. I just wanted to kinda dive into what kind of productivity target. Like, we wanna think about cost savings opportunity as we go into 2026. What does this envelope look like? And then just one clarification on the prior couple of question discussion. It seems like you're attributing a lot of the kinda January improvement or your volume performance to the XPO Logistics, Inc. initiatives that you are doing and not necessarily to any meaningful improvement in the end market or in the demand environment. We saw one of your peers talk a little bit more favorably about the demand and talked a little bit more favorably about the progress in the weight per shipment. We didn't see in your numbers. Just wondering if there's if there's more clarification you can provide on that. Thanks.
Mario Harik: Yeah. So, Fadi, when you look I'll start with the second question and then come back to AI and cost efficiency. On the volume side, we did see both. So when you look at our outperformance in January, it was a component where if take a step back, in December, we did see more strength on the retail side, and we had a few projects with customers like retail store rollouts through the course of December that also help our results outperform sequential seasonality from November into December. And then the outperformance in January was a combination of both. From one perspective, we thought a switch and a better demand environment for the economy, but it's still overall early innings steady. So if you look at the ISN, when your orders were at 57, the I 10 itself was at 52. These are very strong numbers. We are still not seeing that level of ISN performance materialize in the underlying demand. However, the industrial demand in the month of January has strengthened compared to where we were in the fourth quarter, and that's a very positive sign. Now on top of the performance of the ISM and the industrial complex, Beyond that, we were able to drive all of these initiatives, which we have been working on through the course of all of 2025 and then prior to be able to continue to onboard highly profitable business to the overall mix. So I think the outperformance was driven by a combination of both company-specific, but also early signs of life in the industrial economy, which is very positive. In terms of your first question on technology and AI, we are very excited about the opportunity ahead of us. And if you look at last year and over the last few years, of last year specifically, we were able to improve productivity by about eight point and a half for the full year. And that was driven by our tech initiatives. That accelerated in the back half of the year to above two points of productivity improvements. When you look at '26 and beyond, there are multiple levers where we are using AI to improve our cost structure. The first one is around line haul and line haul efficiency. We just discussed this in the past where for every point of improvement, a line haul we get approximately $16 million of profits for the full year. Now for every point of P and D efficiency improvement, it's now slightly higher than what we discussed in the past, about $900 million worth of cost. And this is where we piloted our new technology across 12 service centers in our network last quarter, and we're gonna be accelerating the rollout here in 2026. And then for every point, it's $9 million to the bottom line per year. Then on the doc side, for every point, it's about $4 million of improvement per year. So this kinda gives you the magnitude of impact. Now in terms of our expectation, what we currently expect for 2026 is a low single-digit improvement in productivity as well, but based on what we're seeing with these initiatives and what the run rate we're exiting at last year, there is a case where the upside could be all the way up to mid-single digit. But we're still early innings at this point, and we'll see how these start compounding over time. As we launch those capabilities. And, of course, we're using AI and pricing and in supporting our sales force as well. So we have multiple other initiatives to continue to improve our operating performance through technology as well.
Fadi Chamoun: Thank you. Thank you.
Operator: Our next question comes from the line of Jonathan Chappell with Evercore ISI. Please proceed with your question.
Jonathan Chappell: Thank you. Good morning. Mario or Ali, on the revenue per shipment side, twelve straight quarters of sequential improvement, which is obviously really good. It feels like the year-over-year rate of change is starting to decelerate. Now we're down to 3% in April. Can you help us think about what you're assuming for 2026? And also, is that a commentary, maybe that's slowing rate of change on now that you've reached 12% accessorial, it's maybe a little bit harder to get incremental accessorial impact? Or is that more indicative of maybe a pricing environment that doesn't have the same momentum as it may have had last year?
Ali-Ahmad Faghri: Sure, John. This is Ali. So we expect a strong year from a pricing improvement standpoint here in 2026. For revenue per shipment specifically, we expect revenue per shipment to be up somewhere in that mid-single-digit range, similar to our expectation for overall yield growth. From a weight per shipment standpoint, we'd expect weight per shipment to be flattish on a year-over-year basis. So that's gonna help drive an improving trend year over year for our revenue per shipment here in 2026. The other way you can think about it, John, is you mentioned the 12 consecutive quarters that we've improved revenue per shipment. Through the fourth quarter. We expect that trend to continue here through 2026, so we expect to continue to grow revenue per shipment sequentially each quarter as we move through the year. And that's gonna be driven by all of the initiatives that we're executing on the pricing side. In particular, there's a lot of runway for us on local customers. Mario talked about it earlier in terms of getting those local customers up to 30% of our overall book of business. A similar trend on premium services. A few years ago, we were about 10% of our book of business was premium services. We're at 12% currently, however, we see a path to 15 plus percent over time. So there's a long runway there for us to continue to expand our offering. And continue to drive that above-market, that yield growth and pricing growth here in 2026 and beyond.
Jonathan Chappell: Thank you. Thank you.
Operator: Our next question comes from the line of Jordan Alliger with Goldman Sachs. Please proceed with your question.
Jordan Alliger: Yeah. Hi. Thanks. Just sort of curious. Obviously, you guys are doing a good job from an XPO Logistics, Inc. perspective. I'm thinking though, out over the next several years or a couple years, if we do if some of these demand indicators do wind up becoming more fulsome and we get an inflection across the LTL industry, can you talk a little bit about overall LTL industry capacity relative to what sort of price or yield reaction, you know, would occur if the industry itself went from down volumes to positive volumes. And, again, in the context of overall industry capacity? Thanks.
Mario Harik: Yeah. Well, if you look at the overall industry capacity, it has been relatively flat over the last decade. And while there were a few carriers besides us who have capacity, others have been also reducing LTL footprint. And you also couple that with the bankrupt Tiello a few years ago. You tend to see that capacity has gone down quite a bit. Now in terms of how much has it gone down by, if you look if you compare pre-COVID, so 2019, to where we are today on overall service center count, the industry is down 11 points over that period. And on door count, it's down six points. If you compare it to pre-COVID, to post-COVID where we are I mean, pre-yellow to post-yellow, so you go 2022 to 2025, both service center count and door counts are down six points over that period. When you compare that to what volume has done over the same period, keep in mind, we have been in a subseasonal industrial environment now for three years with the ISN being sub 50 for the most part, that has caused LTL volumes to be down in the mid to high teens, give or take, in terms of shipment count across all public and private carriers. Over the same period of time. So as volume if what we're seeing here in the ISM continues against steam, which at some point, it would and, usually, the ISM ISN is inversely correlated with the Fed fund rate. So when you start seeing that Fed fund rate continue to decline, and you see the ISN start to pick up again, at some point, you won't have enough capacity in the sector compared to what we're seeing or what you would see from a demand recovery. That is also another dynamic that has happened over the last few years, and that's between public and private carriers. When yellow one bankrupt, a lot of that freight ended up going or more of that freight ended up going to the private carriers and the public carriers. So the private carriers are currently more strapped on capacity the public carriers, and, obviously, in our case, we have more than 30% excess door capacity to be able support that recovery whenever that recovery comes. So it's very fair to assume that when you start seeing the watermark overall demand go up, and as capacity starts to dry up, you're gonna see more and more customers go to the carrier that do have that capacity. And, naturally, you will see the pricing dynamic of the overall industry industry. Continue to raise on average. And as Ali mentioned earlier on, we have multiple initiatives to catch up with our best-in-class peer but we see a double-digit opportunity of incremental pricing growth just to catch up to those pricing levers through the three levers that we mentioned earlier on. So it would be not only positive for the tonnage environment, but definitely very positive for the yield or pricing environment as well.
Jordan Alliger: Thank you.
Operator: Our next question comes from the line of Stephanie Moore with Jefferies. Please proceed with your question.
Stephanie Moore: Hi. Good morning. Thank you. I guess, I appreciate the color so far for January and your thoughts. For the quarter. But you know, you know, clearly, you guys have invested quite a bit through network2.o and the likes. You know? So maybe as we think about what your incremental margins could like in an upcycle, that might be helpful because, clearly, I don't think looking at historical results would be probably that relevant given the investments that have been made over the last several years. So any help you can give us, Mario, on incremental margins would be appreciated. Thank you.
Kyle Wismans: Hey, Stephanie. It's Kyle. So if you think about incremental margins, you know, we'd expect be comfortably above 40%. And if you think about the contributors to that, biggest is yield. So we're talking about that earlier, but if you think about yield, it's gonna have really strong flow through from the bottom line, and we're gonna have a lot of our initiatives really just coming through to push it now. So you think about local shipments, continue to grow as Mario mentioned. Think about as a source continue to grow. That's really gonna help us drive really strong incrementals from a yield perspective. And then if you think about where we are from a demand and capacity standpoint, as Mark just talked about, we're in a great position to continue to deliver. If think about the structural improvements we've made, not only in the count of service centers and our tractors and trailers, but also reductions in structural costs. So, again, we've been able to really improve our third-party line haul spend, get that down to 5%. About the AI initiatives that continue to help us drive more productivity, both from a p and d standpoint as well as on the doc. We're in a great position to not only capture more of that revenue, but also do it with a high amount of productivity. So from our standpoint, we should be easily in the 40 range when you think about incremental margins in an upcycle.
Stephanie Moore: Thanks, Kyle. Appreciate it.
Operator: Our next question comes from the line of Chris Wetherbee with Wells Fargo. Please proceed with your question.
Chris Wetherbee: Yeah. Hey. Thanks. Good morning, guys. Maybe one quick clarification question. Mario, you talked about assumptions for the operating ratio in 2026, and you noted no macro improvements before I make get a sense of what the actual tonnage, sort of underlying tonnage assumption is in the 100 to 150 OR for '26? And then maybe zooming out a little bit and thinking about CapEx and cash flow. And so given the capacity that you have, you noted the tractor age on the lower side, your maintenance per mile is low as well. How do you think about that going forward? And then as you balance that kind of cash out relative to returns to shareholders, how you think about that, that would be great.
Ali-Ahmad Faghri: Hey, Chris. It's Ali. I'll answer the part and pass it over to Kyle. In terms of the tonnage assumptions, if you just roll forward normal seasonality from January, that would put full-year tonnage roughly flattish year over year, and that would be supportive of that 100 to 150 basis points of OR improvement. That we expect for the year. Now to the extent that you see that above seasonal volume performance that we've seen the last couple of months continue through the rest of the year, there would be meaningful upside to that OR outlook that we talked about. So, ultimately, it depends how volume trends through the rest of the year. But overall, we expect a strong year of margin improvement with or without the macro recovery.
Kyle Wismans: And then, Chris, if you think about CapEx, so when you think about CapEx for last year, we spent about on the LTL business, about 12.4% of revenue on CapEx. And if you think about what we'll do this year, that's gonna moderate a couple points. So obviously lapping a year of significant network expansion. Do think about the service that we brought online. In addition, we had a lot of fleet additions that brought our third-party line haul down to 5.1%. You think about this year, that number will come down probably more towards, like, the midpoint of our long-term guided range, the 8-12%. What that's gonna do for us from an overall free cash flow standpoint, it's really gonna increase our free cash flow. So think about 26 for us from a free cash flow standpoint, we should be up north of 50% year over year. And that's gonna be a combination of both lower CapEx spend as well as a continued improvement from an income base as Marty talked about with OR improved. So when you think about what that can do for us, that's gonna give us a lot of flexibility going to this year to do really two things. So we'll be able to continue the effort on buying back shares. So last, we repurchased about 125 shares. That will accelerate as the free cash flow continues. But then we're also gonna have the flexibility to help continue to pursue our long-term target of being one to two times leverage. We paid about $115 million of term loan B this year. Again, that'll accelerate as well. So gonna have a lot of cash this year, and that's gonna give us a lot of flexibility moving forward. It's to have find the highest return for our shareholders from that cash.
Chris Wetherbee: Got it. Thanks very much. Appreciate it.
Operator: Our next question comes from the line of Richa Harnain with Deutsche Bank. Please proceed with your question.
Richa Harnain: Thanks, operator. Yeah. One quick clarification for me and then a general question. But the clarification is the outlook for the quarter Q1 to achieve margin expansion sequentially. What are you baking in as the assumption for tonnage? Do we expect this better than seasonal lift that we saw in January to continue for the rest of the quarter? Are you assuming more like seasonal trends for February and March? And then you know, the bigger picture question, Mario, you know, in the past, I believe you suggested that in the next upcycle, price is gonna lead. Just wanted to get an update on that. You know, if you have this double-digit, I think you said 30% excess capacity on a door level, why wouldn't you, you know, improve pricing consistent with what you've been doing? But have sort of volumes lead in driving revenue growth to effectively soak up that excess capacity, drive strong incrementals, which you guys are speaking about. And then that 30%, if you can translate that for us in terms of you know, what that means in terms of how many shipments you can absorb how many more shipments you can take on, I should say, without further investment in real estate. Or maybe how much you can do without taking on more trailers and people that would be helpful. Thank you.
Ali-Ahmad Faghri: Richa, this is Ali. I'll start on Q1. Then pass it to Mario. So for Q1, from a tonnage perspective, if you just roll forward normal seasonality off of January through the rest of the quarter, that would imply full quarter tonnage being flattish on a year-over-year basis. And keep in mind, that does also factor in the tougher comps to the rest of the quarter, and that's really what's underpinning the OR outlook that we talked about in terms of outperforming normal seasonality and also improving OR sequentially from Q4 to Q1. Ultimately, it is still early in the quarter. March does have the largest impact on the quarter as a whole. So ultimately, that will be the biggest swing factor, and probably a better of whether this, better than seasonal volume performance we've seen here in January is sustainable.
Mario Harik: And, Richa, when you look at the overall pricing and in the context of an upcycle, so generally, in our business and our industry, it's a capacity-constrained industry. So, obviously, for the last three years, we have been in a depressed industrial demand environment. Which had made the industry have enough capacity for the volume that we are seeing. But when that start that volume in the industrial economy starts recovering, you won't have enough capacity. When you think about an LTL network, profitability and margin generally comes from yield, comes from pricing. In terms of how we think about it. So naturally, typically in a down cycle, you tend to see the industry be up low single digit on pricing. And good cycle, you would see it in the mid-single digit. And whenever you are in an upcycle, you could tend to see that being in that mid to high single digit type increases in pricing. Now given that we have initiatives to be able to bridge the gap from us from where we are today to where our best-in-class peer we have a double-digit pricing opportunity to go capture. And that's when you normalize our shipment characteristics in terms of weight per shipment and length of haul compared to our best-in-class sphere. So I would go through the initiatives we just mentioned, whether premium services, whether it's small to medium-sized customers, whether it's continue to get a more profitable mix of business, we're gonna be driving those pieces to get a few points above market pricing for all of these components on top of the industry's pricing going up. Now in terms of our ability to gain more tonnage, obviously, in an upcycle, we will also gain more tonnage, but we generally we would wanna get more price because that's gonna have a higher flow through to the bottom line as well. When you look at the volume side and how much we can handle, typically, in an LTL network, you need approximately in the mid-teens excess capacity to be able to handle the psych the up and down cycles related with beginning of month versus end of month type volume fluctuations. Or what the Monday would do versus the Friday would do. Or what beginning of the quarter versus end of the quarter would do. So that fluctuation typically, you need about 15 points or so of excess door capacity so you can handle door all those up and down. So we see anywhere between the mid-teens to the low 20% range of incremental volume we can get with our current door capacity. And beyond that, we would be expanding further and adding more physical capacity. Now there are also other forms of capacity like holding stock and, obviously, people as well, and on the rolling stock side, we would give us we are in a great, great position. Over the last three, four years we have added more than 19,000 new trailer solar fleet and we have added more than 6,000 new trucks to our fleet giving us today one of the youngest fleets in LTL. Our average fleet age is 3.7 years. As we exited the year. So we're feeling great about being able to capitalize on that. And importantly, to be there for our customers when that upcycle starts, we're able to move their freight and provide great service for them along the way. Thank you.
Richa Harnain: Thank you.
Operator: Our next question comes from the line of Tom Wadewitz with UBS. Please proceed with your question.
Tom Wadewitz: Yeah. Good morning, and, congratulations on the momentum in the business. I wanted to see if you could talk a little bit about underlying inflation. It sounds like you got some pretty helpful productivity opportunities related to the tech and AI initiatives. OD had their call yesterday taking a kinda talked about higher inflation. I think five to five and a half percent, so maybe a bit higher versus 25. So maybe a thought on how you see underlying inflation. And then when you weave in productivity, does your kind of do you get maybe more overall cost benefit? And into the margin in '25 or excuse me, in '26 or just how do we look at those different pieces together? Thanks.
Kyle Wismans: Yes. If you think about it in a long term, so we could think cost per shipment is gonna be up somewhere in the low single-digit range. And the way to think about that so for us, quota wage inflation is in that three to 4% range. And then on top of that, we see higher benefit cost of maybe a point or two. But as you imply, I mean, we took to offset that with our productivity initiatives. So from an AI standpoint, that's gonna help you know, whether it's line haul, pickup, delivery, or dock. Drive further improvements there. And then I think from a labor standpoint, just more broadly in the fourth quarter, we delivered two points of labor productivity. Expect that to continue. So if you think about on a net basis, once you account for that productivity, you know, we would expect our cost per shipment to be in that low single-digit range despite having that core wage inflation and higher group or higher increase for benefit cost.
Tom Wadewitz: Do you think underlying inflation is much different from last year or kinda similar?
Kyle Wismans: I think it's gonna be similar. So if think about wage inflation, it's gonna be similar. I think we're seeing, and I think others in the broad space are seeing some of the benefit cost insurance cost are a bit higher this year than prior. I think on a net basis, you're gonna be pretty similar on a cost per shipment.
Tom Wadewitz: Okay. Thank you.
Operator: Our next question comes from the line of Brian Ossenbeck with JPMorgan. Please proceed with your question.
Brian Ossenbeck: Hey, good morning. Thanks for taking the question. Just want to see if can give a little bit more color on two areas of the market. First would be just what you call the vertical or industry expansion into things like grocery and health care. What's the rate of change you expect in '26? And that fall under the premium services or something else? And then just given the move in spot truckload market and worries about capacity getting a little bit tighter, have you started to see any truckload spillover any sort of degree? I know it's not necessarily a big part of your business, but curious to see if that's starting to happen.
Mario Harik: Thanks, Brian. Well, first starting with grocery, we see that as being a large market that we're gonna continue to ramp and we estimate the size of that market, Brian, to be in the $1 billion market size range. And it does come with very good margins. Now today, it's a small part of our business as we continue to grow our market share in it. And predominantly, there are two carriers that manage the majority of grocery consolidation business in the industry. And we're starting to make now more and more inroads into that part of the business. We have achieved preferred carrier status now with a number of large grocers, and we have nearly 200 incremental customers in our pipeline that you wanna go after. But if you look at it again, today, are in the low single-digit percentage of total industry size of the billion dollars worth of grocery. Our goal is to continue to grow through that 2026 and beyond. As we continue to gain market share. Now in terms of what's NetSip, it is a premium service from the perspective that you do get the base charges from the actual prey. But then there's a service on top of that, which is your consolidation service you're offering to the grocers. The way that business works is once you achieve preferred area status for the large grocer, we have a lot of these smaller companies that are shipping into the grocer, and we consolidate that freight at a destination terminal before we actually do a trailer drop to that particular grocer where they can optimize their own docks not having to deal with multiple shipments coming in through the course of the day as the an example. This has a benefit both on the overall volume side as well as on the premium side given it's charged through a sodium mechanism as well. The second component on the truckload to LTL shift we do think that as truckload rates go up, you will see some of that freight that has left the LTL segment to go to truckload, come back to LTL. But we've always thought that this is a small number. When you look at direct conversions, between heavy shipments that are call it, 14, 15, 16,000 pounds, this is where it's usually sub 1% of an LTL network. So we see some of that would be coming back to LTL with heavier weight per shipment. As truckload rates go up. The second component is typically customers who are using a transportation management system, that can optimize multiple LTL shipments into truckload granted if the service can be service requirements can be met. We estimate that when truckload rates are lower, you see a bit more of that conversion, but we only estimate that to be a couple of points. So when you look at it on a full numbers basis, we estimate somewhere in the low to mid-single-digit range of tonnage that has gone to truckload would be coming back to the industry. Now with LTL, two to three points of industry volume, that's a decent amount. That we would expect to come back into LTL whenever truckload rates start recovering. But one also one last thing, Brian, I would say, and that's more of a that will help us with higher incremental margins in the next upcycle, is the fact that we have reduced our reliance meaningfully on purchased transportation. So you can imagine that truckload rates eventually recover by 20, 30%, that's gonna be a much lower headwind on our p and l because only mid-single digit of our line haul miles at this point are outsourced, and we're planning on taking that number even further down here in 2026. Which would further isolate our p and l from any truckload rate increases through the course of the year of '27.
Brian Ossenbeck: Alright. Thanks, Mario. Appreciate it.
Mario Harik: You bet.
Operator: Thank you. Our next question comes from the line of Jason Seidl with TD Securities. Please proceed with your question.
Jason Seidl: Thanks, operator. Mario and team, good morning, guys. I think a lot of questions have been sort of directed or dancing around sort of a longer-term outlook. The last time you gave an update, was from '21 to '27, and you looked at an OR improvement of at least 600 basis points, and you're tracking quite nicely to that. Given sort of your productivity initiatives given hopefully an industrial recovery, and, you know, a greater push into sort of your premium as well as your local services. How do you see the next couple of years in terms of your OR improvement just had Old Dominion come out and not give a date around it, but talked about sort of a longer-term sub 70 OR. So I was wondering you think XPO Logistics, Inc.'s North American targets could sit.
Mario Harik: Well, on the long term, if you compare us our best-in-class peer, I mean, we have all the levers to be able to get there from an OR perspective. It's just gonna take time as we continue to execute. And as you said, Jason, in what was over the last three years, the historic trade recession, we were able to improve our operating margin by nearly 600 basis points while the rest of the industry took a meaningful step backward on overall margin performance. So when you look at that, we do expect our OR over the years to come to that eventually get into low seventies. From an overall margin perspective. And it's all the levers we have discussed in the past. From one perspective, still have a double-digit pricing differential between us and the best-in-class peer through the three levers that we mentioned. A better service product over a longer period of time, has led to some of that outperformance, and I would go to effectively get an incremental point per year on that over the year to come to continue to bridge the gap. On the accessorial side, when we started our plan three, four years ago, we were at nine to 10% of our revenue was as revenue. We're up to 12% now, and I would also get to fifteen. That's an incremental point per year over the next three, four years. And then on the small to medium-sized customers, when we started out plan, 20% of the book was effectively those kind of customers, and our goal is to get that to 30%, and we're halfway through. So we have another two to three years to be able to bridge that gap. So these are the kind of levers on the yield side. When you look at the cost efficiency side, we have been able to improve effectiveness or efficiency overall productivity across our network quite a bit, the combination of technology and AI as well as the investments and capacity by having larger service centers we can operate our network more effectively and succeed. They run way ahead of us. I mean, we are assuming in our plans a low single-digit productivity improvement for the year. When you look at what AI is doing these days, I mean, there's more upside there as well. Then you couple that with as the volume environment recovers and our ability to take market share some of these new verticals like health care or grocery consolidation, that's gonna further give us incremental tonnage as well. So if you add all these things up if we, again, we would see whether these are early signs of an upcycle or not, it's very tough to call the cycle. But without the cycle, we've been able to improve margin and have it long runway of margin improvement. And, obviously, if we have help from the cycle, that's only gonna accelerate our plans. And, eventually, we wanna get our OR went into the seventies. And, eventually, at some point in the sixties as well.
Jason Seidl: And, Mario, following up to your comments on what AI can do to your productivity measures, I mean, how meaningful do you think that could be? Could it sort of double your expected productivity gains?
Mario Harik: Overall, as we roll them up, still in our expectation, because every time you roll out a new technology solution, so, you know, you have certain targets, but then as you roll it out and you keep on doing changes to it and you train the AI further, and then as it learns from the actual changes and the real freight is seeing in the network, it keeps on evolving. And our current expectation it's a point and a half. Back of half of last year, we had gotten to above two points of productivity. And some of these early solutions could have more upside, as I mentioned earlier on, but we'll see how these kinda get pulled out. We take them as step at a time and keep on investing in them. And our team iterates on them. And the point and a half could be conservative, but we'll see kinda how that materializes here over the quarters and years to come as we launch some of these solutions.
Jason Seidl: That's fair. Appreciate the time and color.
Mario Harik: Thank you.
Operator: Our next question comes from the line of Ravi Shanker with Morgan Stanley. Please proceed with your question.
Ravi Shanker: Great. Thanks. Good morning, everyone. Just a quick follow-up on the local accounts. Can you just remind us again kind of who do you compete with for those local accounts? And how does the cyclicality or seasonality of those accounts maybe differ from national accounts or maybe they don't?
Mario Harik: Great question, Ravi. If you look at the local accounts, generally, we estimate that the industry, roughly the third of LTL shippers in the industry, so about 30% are small to medium-sized. So they are and think of a small to medium-sized customer as being, say, a small manufacturer that is shipping five tablets a week as opposed to a large company that could be out of one location shipping 100 shipments in a given week. Usually, they have less density and, usually, they operate at a higher margin because effectively as an LTL carrier, we don't get the same density that you get with a large customer, whether you might be doing things like trader pools or swaps that effectively make your cost structure a bit more efficient. Reason why you need a great service product and you need great relationships with the customer. And this is where our local sales force are doing a fantastic job growing that segment of business. We have increased the size of the sales force by about 25% over the last few years, and as they ramp in productivity, they're being able to be out there meeting customers face to face and onboard more of that business. Again, onboarding 10,000 new accounts through the course of 2025, which I couldn't be more proud of. Now in terms of the cycle and how it impacts small to medium-sized customers versus larger customers, usually, the larger the customer, they use a TMS system to optimize their freight flow. So, naturally, what you tend to see in the down cycle, larger accounts, their weight per shipment stays relatively flat. It might still come down a bit. But you see the shipment count come down more. For local customers, what you tend to see is a higher impact on weight per shipment because, naturally, if they had a customer who was buying three pallets worth of skid of the passengers, now maybe they're buying two pallets worth of passengers subsequently having a lower weight per shipment. So, typically, the seasonal changes when the cycle is down, weight per shipment is down. When the cycle is up, weight per shipment is up. Versus the larger the customer, you tend to see when the cycle is down, you can see shipment count is down, and then when the cycle is up, you see shipment count being up.
Ravi Shanker: Very helpful. Thank you, Mario.
Mario Harik: You got it, Ravi.
Operator: Our next question comes from the line of Bruce Chan with Stifel. Please proceed with your question.
Bruce Chan: Hey. Good morning, guys. Helpful commentary on the different target end markets so far. I was wondering if you can maybe give any comments on pricing trends or negotiating behavior at this point in the cycle, between them. You know, renewals or bid frequency for SMBs versus enterprise, for example?
Kyle Wismans: Yes. If you think about renewals, what we're seeing in fourth quarter pretty consistent with we saw in the third quarter. So you know, we've been pretty consistent from that standpoint. And you think about the cadence of renewals, so, typically, we have about a quarter of book that renews every quarter. Thing to keep in mind is that when you think about local accounts, many of those are on our standard tariff on so they get impacted by the GRI. That's about a quarter of book gets impacted by the GRI versus individual negotiations.
Operator: Thank you. And we have reached the end of the question and answer session. I would like to turn the floor back over to Mario Harik for closing remarks.
Mario Harik: Thank you, operator, and thanks, everyone, for joining us today. You saw from our results, we're outperforming the market based on our own initiatives. And disciplined execution. Even without a recovery in the demand environment, we expect strong margin expansion and earnings growth this year. And if the recent pickup in demand continues, we're well-positioned to capitalize on it and accelerate our results even further. With that, operator, we've got the call.
Operator: Thank you. And this concludes today's conference, and you may disconnect your lines at this time. We thank you for your participation.